Matt Chesler: Hello, everyone, and welcome to the Lesaka Technologies Fiscal Fourth Quarter 2023 Webcast and Conference Call. As a reminder, the webcast is being recorded and the presentation can be accessed through the webcast link as well as dialing into the zoom conference call dial-in numbers provided. Management will address any questions you may during the Q&A session after prepared remarks. For those joining us via webcast live, you can ask your questions by raising your hand button in zoom, and for those joining via the zoom teleconference line, you cannot ask your questions live. The webcast link, zoom conference call dial-in numbers, as well as our press release and supplementary investor presentation are available on our Investor Relations website at ir.lesakatech.com. Additionally, Lesaka filed its Form 10-K after the U.S. market close yesterday, September 12, 2023, which is also available on our Investor Relations website. As a reminder, during this call, we will be making forward-looking statements, and I ask you to look at the cautionary language contained in our Form 10-K regarding the risks and uncertainties associated with forward-looking statements. Also, as a domestic filer in the United States, we report results in U.S. dollars, under U.S. GAAP. However, it is important to note that our operational currency is the South African rand and as such we analyze our performance in South African rand. In this presentation, we will discuss our results in South African rand, which is non-GAAP. This assists investors' understanding of the underlying trends in our business. As you know, the company's results can be significantly affected by the currency fluctuations between the U.S. dollar and the South African rand. In the presentation that accompanies this call, we will provide all financial metrics as reported in U.S. dollars in the appendix. Now, taking a quick look at today's agenda: Chris Meyer, Group CEO of Lesaka, will start with performance highlights of the fourth quarter of fiscal year 2023, and a review of Lesaka's progress against its key strategic objectives; Steve Heilbron, CEO Connect and Head of Merchant Division, will provide an update on the Merchant Division, which has produced an excellent set of results; Lincoln Mali, CEO of Lesaka Southern Africa, will provide an update on the Consumer Division, which has delivered a third consecutive quarter of EBITDA profitability; and then Naeem Kola, Group CFO, will present an overview of our financial performance for the three months ended June 30, 2023; Chris will then conclude the results presentation with a discussion of the outlook for Lesaka, before the team opens up for Q&A, where we welcome any questions you may have. I'd now like to turn the call over to Chris.
Chris Meyer: Good morning and good afternoon, and welcome to our fourth quarter 2023 earnings webcast and conference call. The fourth quarter was a strong ending to a transformative year for Lesaka. Excellent growth in the Merchant Division was driven by the Connect and Kazang businesses, and we delivered the third consecutive quarter of profitability in the consumer division, where we have executed on our turnaround strategy and are moving strongly onto the front foot. It has undoubtedly been a year of significant positive change at Lesaka, so I would like to contextualize these results. Only 16 months ago, we announced the finalization of the Connect Group acquisition and our rebranding as Lesaka, positioning us to build the leading Southern African Fintech platform focused on delivering financial inclusion to underserved merchants and consumers. And today I'm delighted to report this robust set of results for the 12 months to 30 June, 2023, especially in light of the increasingly challenging operating environment. These results demonstrate not only the resilience of our business, but also the resilience of our business, and more importantly, the value they place on our services. The tireless dedication of our employees, from whom we have asked a great deal over this period, further underpins our success. So whether providing microloans to grant beneficiaries to help them in their daily lives, or giving merchants quick access to working capital and solutions that help them de-risk their businesses and enhance operational efficiencies, our financial products and services are positively impacting previously underserved communities. We are delivering tangible evidence that our holistic financial service offerings are improving the lives of consumers and merchants across Southern Africa. And much has happened during this short period. Now, consumer and merchant customers have felt the negative effects of high inflation, high interest rates, and the escalating impact of power failures, or load shedding, as it is called in South Africa. Inflation has been debilitating for all South Africans who are not seeing corresponding increases in their monthly incomes. The South African Reserve Bank increased interest rates on six consecutive occasions during the past year, adding a further 3.5% to interest rates since the start of FY 2023. And power cuts have risen rapidly over the last six months, particularly in the fourth quarter, with 10-hour-per-day blackouts regularly experienced. We must recognize the cumulative negative effect of these challenges on our merchant and consumer customers. So FY 2023 has also been a year of many milestones. We first issued revenue and group-adjusted EBITDA guidance for Lesaka as a group a year ago. And we have delivered on this guidance despite the tougher-than-expected trading environment, with revenue exceeding our guidance and group-adjusted EBITDA falling in line with our guidance. And as I've said before, the acquisition of the Connect Group was genuinely transformational for Lesaka. But integrations don't just happen in the ordinary course of business. The work put in by our teams to bring the businesses together, while continuing to deliver the growth and performance they have achieved has been nothing short of remarkable. As we previously reported, the Connect Group implied enterprise value to EBITDA multiple was approximately 12.8x at the time of the acquisition that's using Connect's February FY 2022 projected EBITDA. Notably, the Connect Group has surpassed the acquisition investment case, and this effective multiple, enterprise value to FY 2023 merchant segment adjusted EBITDA has become approximately 8x, with Connect contributing approximately 99% of the merchant segment adjusted EBITDA in FY 2023. So our vision to build the leading fintech providing cash and digital solutions to small merchants and consumers in Southern Africa remains. On the M&A front, we continue to evaluate opportunities in South Africa that will enhance our market positioning. And this includes built-on acquisitions that will provide scale to our existing offering or broaden our product offering in serving existing clients. Our M&A focus is primarily in our merchant business. We have successfully turned around the consumer division from a performance perspective, achieving three consecutive quarters of profitability. We have also fundamentally transformed the division into a customer oriented sales focused business. And we still have work to do, but we are firmly on the right trajectory. From a balance sheet perspective, we have made significant progress with our lenders this year through restructuring our debt facilities, providing greater flexibility in managing our cash balances, as well as increasing our capacity for growth. Reducing our debt position is a key focus for Lesaka with numerous levers at play to achieve this. Our operating cash flows continue to improve with $9.7 million, which is ZAR 183 million in net cash provided by operating activities in Q4, compared to $6.7 million reported at ZAR 104 million of net cash used by operating activities in Q4 2022. We have made some progress in the realization of our non-core assets with the signing of a share repurchase agreement in regard to our interest in Finbond for a cash consideration of approximately ZAR 64 million, which we intend to utilize to partially settle debt. The share buyback is subject to certain conditions precedent, including Finbond shareholder approval, and is expected to close in December, 2023. We continue to focus on our other non-core asset disposals, which should further improve our balance sheet strength and debt ratios when completed. From an operational perspective, we broke some new barriers this year. We processed over ZAR 26 billion of VAS products, including supplier payments, on behalf of our merchants. Within that number, the use of our supplier payments platform increased more than 300% year-on-year to almost ZAR 4 billion in FY 2023. Our merchants deposited over ZAR 110 billion in cash into our vaults in FY 2023, evidencing the value they derive from our ability to digitalize this cash and immediately provide access to working capital. Supporting this, we lent over ZAR 1 billion in growth capital to these merchants over this period. We continue to innovate and integrate market-leading solutions, often successfully tweaking formal market solutions for the informal market. Kazang Pay Advance and Kazang Vaults are great examples of how we rolled out formal market solutions to the informal market that are being well-received. EasyPay Money Market was introduced in the formal market this year, demonstrating how our teams have been able to collaborate during the integration process. Our new ATM Recycler is generating significant interest, and this business has been transferred to our Merchant Division, where it has been fully integrated into our Cash Connect proposition as an alternative to vaults for our merchant customers. In the Consumer Division, we extended over 850,000 microloans, or ZAR 1.3 billion, to our account holders and wrote just short of 125,000 new micro-insurance policies in FY 2023. These figures demonstrate real financial inclusion and Lesaka's tangible impact on previously underserved community members. We not only continue to deepen our understanding of the needs of South Africa's growing beneficiaries and the dynamics of this market, we have invested in data capabilities that allow us to better understand the impact that our enhanced products, distribution, and service offerings are having across our customer base. As a result, we are on a completely different trajectory from where we were 12 months ago. To reiterate, our vision at Lesaka is to enable small merchants to compete and grow and to improve the lives of South Africa's grant beneficiaries. We are seeing daily evidence across our business of the significant impact that we are having on the lives of our merchant and consumer customers. Lesaka is a leading player in the sectors in which we choose to participate, and we are on the brink of launching an exciting project utilizing our unique datasets and insights into the informal and township markets in South Africa. There is very little empirical data available at this end of the market, and what is readily available is often contradictory. We are hard at work with other thought leaders in this space and aim to bring consistency to definitions and market size in order to drive better understanding and servicing of this market segment. With our extensive footprint in this market, we are targeting to release quarterly statistics combined with relevant thought leadership at our Q1 '24 results. Lesaka has undergone a remarkable transformation since 2021. Our discussions at the Board and operation level and with our investors and other stakeholders are vastly different now, with a clear focus on growth and opportunity rather than turnaround and integration. Lesaka has delivered on the strategy as communicated to investors and achieved several significant milestones. As a group, the Lesaka of today is ready for the exciting growth stage of our journey. The results for FY 2023 have been excellent. We've exceeded our revenue guidance for the year primarily due to the stronger than expected growth in our Kazang VAS and Card business. In our consumer division, whilst account growth was slower than forecast, revenue increased 12% year-on-year, which was very encouraging, especially considering the restructuring process was in full swing for the majority of the 12-month period. At an EBITDA level, our results were near the midpoint of our guidance, despite the challenging operating environment. The year-on-year growth rates are skewed by the inclusion of the Connect Group for a full year, but I'm hugely encouraged by the continued improvement in our quarterly performance, with each quarter this year reflecting an increase in revenue and EBITDA. We are especially proud of the turnaround in operating income, which has improved from a loss of ZAR 611 million in FY 2022 to a loss of ZAR 275 million for FY 2023. Adjusting for the amortization of acquired intangibles and for the impairment of our UEPS business, which in aggregate account for an approximately ZAR 400 million charge to the income statement, we have delivered in excess of a ZAR 670 million improvement to operating income over the year. And Naeem will address the Q4 results in detail later in the presentation. With that, I would like to hand over to Steve to take you through the excellent performance of our Merchant Division.
Steve Heilbron: We've just completed our first full year as the Lesaka Group, and it's been both challenging and rewarding successfully integrating the Kazang and the Connect businesses into the wider organization. Seldom do all aspects of an acquisition work as planned, but the way in which the teams have worked together and adapted to the changes has been remarkable. At the time of the acquisition, we said there was a close alignment of culture and values between the leadership teams, which has underpinned the transition and has seen us through a difficult trading environment in South Africa. The performance of Kazang and Connect have continually surpassed base case assumptions, and the Lesaka shareholders have received value for their investment, particularly given the increasingly challenging operating environment that Chris spoke about earlier. The Kazang and Connect operations have brought diversity to Lesaka with exposure to different market sectors and revenues. Before getting into the numbers, I'd like to briefly recap what we see as the opportunity in the Merchant Division. With our comprehensive product portfolio covering both cash and digital, and formal and informal markets, Lesaka's unique position allows us to benefit from both the significant reliance on cash in the South African economy and the rapid shift to digital that is currently taking place. This shift opens up opportunities for us to pioneer informal markets and disrupt the incumbents and traditional ways of transacting in the formal markets. We rely on being innovative and responsive to the needs of our merchants, quick development turnaround times and getting product onto the street. We take calculated risks, learn quickly, and are adaptable. We are instilling this culture across the group as we fight for success in these competitive markets. As Chris mentioned earlier, we are a formidable competitor in the Fintech space across any considered key metric. Critical to our strategy is the holistic offering we have for our merchants. We have numerous competitors on an individual product basis, but our holistic solution is a significant and durable differentiator. We have always said the SME sector is critical to the South African economic growth, and we need to assist these merchants to compete and grow, which we achieve through providing solutions that resolve their critical business issues and pain points. As a Fintech company, this holistic approach is unique and disruptive. From cash vaults and immediate digitization, quick access to capital for growth and opportunities, a comprehensive VAS product suite to attract customers to merchant stores, to supplier payment systems and industry-leading payment technologies, we offer solutions that make a meaningful difference to our merchants' daily trading, risk management, and business administration. We will entrench and extend our position in the informal and formal MSME markets by continuing to embed ourselves as a partner to our merchants and by offering real value. We now offer four primary solutions to both formal and informal merchants. Our portfolio of products results in increased customer adoption driving higher volumes of sales for merchants. We utilize our proprietary infrastructure to offer merchants and their customers what they need. We provide merchants with a POS device linked to a digital wallet from which they can pay suppliers, sell many VAS products, make bill payments, take customer payments via card swipes or tap and pay, whilst providing instant settlement. Merchants are also able to access funding and a smart vault via the device. For us, as Lesaka, partnership with a merchant usually starts with a VAS device. This drives growth in all products, more merchants, more devices, more wallets, more product flow. By way of example, more than 60% of Kazang merchants that have our VAS device in store convert to also utilizing our Kazang Pay offering, which can then be followed by Kazang Pay Advance. This deeper relationship with merchants increases our value and stickiness to them and is key to our strategy. Our VAS throughput in Q4 has seen growth of 23% compared to Q4 2022, and a 30% increase year-on-year for the 12 months despite the increase in load shedding that we witnessed during 2023 and particularly in Q4. Our product development team continues to innovate and provide merchants with a comprehensive product set to attract customers into their stores. From a device perspective, we have increased our estate by 47% in the past 12 months and 4% in Q4 compared to FY 2023 Q3 to approximately 75,000 devices. On a quarterly comparative basis, in Q4 we saw a significant change in product mix for VAS sales, with low margin money transfers reducing significantly. While we saw a retraction of 7% in throughput primarily due to this, the impact on the bottom line was negligible with our gross profit earned on VAS increasing during the quarter. Adjusting for money transfers, we saw an increase in throughput of 3%. It's hugely pleasing to show growth despite our merchants' substantial loss in trading hours in Q4. During Q1 to Q3, we installed a significant number of devices at informal merchants in order to support supplier payments to two major beverage companies in South Africa. During Q4 and into Q1'24, we focused on making sure that these devices are processing appropriate volumes and removing the sub-economical devices. This pattern of on-boarding and cleaning up is an expected occurrence in the Kazang business when major partnerships are initiated. In our card acquiring business, we continue the excellent growth in our estate and throughput. Our installed POS devices increased to 44,900 representing a 98% year-on-year growth and a 7% quarter-on-quarter growth compared to Q3 '23. This robust growth in devices demonstrates the frictionless process of converting VAS devices to POS devices and we are confident we will continue expanding our market share in the informal market. From a throughput perspective, Q4 '23 versus Q4 '22 was up 83%, with FY '23 versus FY '22 up 97%. In Q4, we saw a 5% increase in throughput compared to Q3 '23, which was impacted by the challenging conditions and reduced trading hours and disruption due to load shedding through the quarter. We saw a slight pullback in credit extension in our merchant credit business in Q4 as we tightened our credit criteria in response to the higher interest rate and inflationary pressures in the economy. This resulted in ZAR 262 million credit disbursements in Q4 compared to ZAR 280 million in Q3, with our loan book reducing to ZAR 333 million at year-end, marginally down from ZAR 343 million at 31 March, 2023. Continued innovation and market penetration during FY 2023 have seen a year-on-year growth in our book of 38% and 62% in credit disbursements. In FY '23, we extended over $1 billion in credit to our merchant customers, delivering the funds within 24 hours, demonstrating the utility and value our Cash Vault and our Kazang Pay customers receive from our offering. By many accounts, we are at or near the top of the interest rate cycle and recent inflation data shows an encouraging downward trend. As such, we anticipate a more favorable operating and trading environment for our merchants and thus a resumption of growth in our credit business. Our cash vaults or cash digitization business put in a pleasing performance despite being primarily exposed to the formal SME market, which load shedding, interest rates and consumer pressures have impacted more severely. We saw an 8% year-on-year increase in throughput on our vaults, and the number of cash vaults increased similarly by 8% year-on-year. Over $300 million in cash is deposited into our vaults on a busy trading day, and is immediately available to our merchants in the form of working capital. We effectively put the bank in our merchants' store and significantly enhance their risk profile and operating efficiencies. As we extend this solution into the informal market, we anticipate making a real difference in our merchants' lives, entrenching our ability to enable them to compete and grow. Our EasyPay Enterprise Market Solution, which offers VAS, switching and bill payments in the formal market through retail partners, has been under pressure this year. Whilst this solution is relatively small in terms of profit in the overall merchant business, it is strategically important and a growth opportunity. We are investing in its development in order to unlock what we believe is an exciting future. Overall, it has been a challenging environment with significant headwinds, but we are encouraged that the underlying growth and profitability trends remain intact. We currently have some exciting innovations in our development cycle. In this Fintech enabled environment, innovation and agility are critical to long-term success. We are in the fortunate position to have the financial strength, skill and a large installed client base across which we can continue to drive innovation and enhance our market positioning. Considering the challenging economic environment and the impact of increased load shedding on our merchants and their customers, the Merchant Division delivered a good fourth quarter result and excellent year-on-year revenue growth. As both Chris and I have mentioned, the Connect and Kazang businesses continue to outperform their acquisition base case, although they are growing at different rates. I am encouraged by the result for the fourth quarter. Despite facing numerous challenges, we still managed to grow. Notwithstanding the tightening credit cycle, VAS product mix changes, significantly increased load shedding disrupting our sales efforts, and continued pressure on our merchants' customers, the Merchant Division still reported 2% growth in revenue compared to Q3. On an annual basis, growth was 17%, but within that, the Connect Group revenues grew by more than 25% for the year. From an EBITDA perspective, Q4 grew 4% on Q3 2023 to $154 million, negatively impacted by our pre-existing merchant division. In conclusion, it has been an excellent year for the Merchant Division. We have successfully integrated the Kazang and the Connect operations into Lesaka and continued on our strong growth trajectory with our value proposition to informal and formal merchants resulting in deeper, stickier relationships that will continue to underpin the overall growth rate of the business going forward. We are excited about the overall growth opportunity that lies before us as we continue to focus on our merchants' ability to compete and grow. I'd like to hand over to Lincoln to take you through the Consumer Division results and strategy.
Lincoln Mali: Good morning and afternoon, everyone. Thank you, Steve. I want to contextualize our consumer situation. As you know, we focus on the social grant beneficiaries in South Africa. Their monthly expenditures have been subject to high inflation, in many cases ahead of reported inflation figures. Our customers often rely on just one grant to cover monthly essentials to keep their households going and feed their families. As the only financial institution focused exclusively on this end of the market, we dedicate 100% of our resources to understanding and servicing their needs as effectively as possible through product design, fit-for-purpose distribution network, and service channels. This focus has led to our making significant strides in the execution of our strategy. Financial year 2023 and quarter 4 have been a story of continued improvement for the consumer division. After breaking even on an adjusted EBITDA basis in the second quarter, we have recorded three consecutive quarters of increasing profitability. Quarter 4 segment adjusted EBITDA was ZAR 46 million, up from ZAR 30 million in quarter 3. For financial year 2023, we reported a segment adjusted EBITDA of ZAR 59 million compared to a loss of ZAR 329 million in financial year 2022. This swing of almost ZAR 400 million in EBITDA in one year was an incredible challenge for us, and I'm immensely proud of what the consumer team has achieved. As a positive contributor to the group, I'm confident we can take this momentum into financial year 2024, which has started with encouraging results. The revenue growth of 27% compared to quarter 4 2022 and 9% from quarter 3, 2023 is further evidence of the progress we've made. Given that, this growth is being achieved off a greatly reduced cost base, as well as in a difficult operating environment, it clearly demonstrates that the actions that we have taken are already yielding robust results. With the cost optimization lever effectively complete, we have more predictability and consistency in our numbers. We are now focused on revenue increases through EPE account growth and cross-sell initiatives. We should also see widening jaws every quarter as we grow off the stable cost base. We close the 2023 financial year with an active EPE account base of 1.3 million customers, representing 10% growth on a net basis. Approximately 85% or 1.1 million are our core permanent grant recipients. Growth in this cohort has been 2% on a net basis for the year, which has been slower than expected and the primary reason for the consumer division falling short of EBITDA guidance. In unpacking our net EPE account growth, it is worth noting that the gross EPE account activations for the permanent base showed significant improvement in the fourth quarter, evidencing progress on the ground stemming from the various strategic initiatives to lift our growth rate. We achieved approximately 60,000 gross account activations in the fourth quarter, compared to approximately 38,000 in the third quarter of financial year 2023. The net EPE account growth result was impacted by a higher than normal churn in the fourth quarter that related to routine closure of approximately 60,000 dormant accounts. Adjusting for this, the permanent account base showed an 8% increase in 2023. Customer churn is a major focus in our business, and our churn rate remains in line with the natural attrition in South Africa's grant beneficiary market, which is largely attributable to children turning 18 and mortality. Churn averages around 10% to 12% per annum in the overall grant beneficiary market. Growing our permanent grant recipient account base is a strategic priority for our leadership and sales teams. We have several initiatives to lift our growth rate in financial year 2024, including increased marketing initiatives and budget, investments in our sales force with incentives focused on active account-based growth, improved on-boarding systems, reducing friction on activations, customer incentives to promote switching, branch renewal and repositioning to enhance customer experience and convenience, and continued engagement with SASSA and support of their programs. Encouragingly, we've started this financial year with some very robust EPE account opening numbers, including a number of record days being achieved. We anticipate our internal initiatives, current support difficulties and the SASSA Outreach program to support this momentum through financial year 2024. In our EasyPay loan business, we've seen a continued improvement in our uptake of our account holders as we offer a distinct product from most competitors. We tailor our loan structure and repayment terms to the grant recipients with a maximum value of ZAR 2,000 repayable over up to six months. Our simple terms and conditions, repayment profiles, and no interest charges are easy for our customers to understand. This credit product is best in market and offers significantly cheaper costs than those prescribed under the National Credit Act. Our customers highly value these loans, as demonstrated by the low loss ratio and high percentage of borrowers regularly renewing their loans. With our loan book turning over at least every six months, we get real insights into our customers' borrowing patterns and default rates, allowing us to continue providing real value to our customers and managing our risk. We continue to improve customer experience with the recent addition of USSD and Voice branch channels, where customers can complete loan applications with instant approval online without visiting a branch USSD facilitates transaction functionality on feature phones, which are already used by our customer base, given that they do not have a smartphone. Our EasyPay micro-insurance policies have continued to exceed our expectations, with our account base penetration now at 30% compared to 20% just 12 months ago. Upskilling our sales force to improve their cross-selling capabilities and upgraded technology platforms have delivered significant benefits, with 124,700 new policies being written in financial year 2023 compared to 27,600 in financial year 2022, an impressive 450% increase. The book's quality remains excellent, with a premium collection ratio of approximately 96% compared to an industry average at this end of the market of 60%. Our insurance product success and loan performance improvement has resulted in an ARPU for our regular grant customers of approximately ZAR 80 per month in financial year 2023 quarter 4 compared to ZAR 70 per month 12 months ago. In conclusion, we see the trend of continual improvement extending through 2024 and beyond. The improvements to our products, distribution and technology are bearing fruit, and we are all well-placed to quickly and sustainably expand our market share of the grant market in South Africa. For my colleagues and I in the Consumer Division, financial year 2023 has been nothing short of an amazing year. Whilst the EBITDA performance has been remarkable, it is hugely rewarding and motivating to see how our customers are returning to us and switching from the South African post office, setting the tone for growth into financial year 2024. With the momentum built this year and the enthusiasm with which our people are taking on the challenge, I'm excited about the prospect for the Consumer Division over the next few years. I would like to hand over to Naeem now, who will take you through the income statement and balance sheet in more detail.
Naeem Kola: Thank you, Lincoln. As Chris said, it has been a year of great achievements. We have delivered against what we set out just 12 months ago. As my colleagues discussed earlier, we exceeded our revenue and met our EBITDA guidance for the year. Given the challenging trading environment, turnaround and restructure in the consumer division, and the integration process as well as the high growth from Kazang and Connect, overall, a robust performance.\As a reminder, the Lesaka is a domestic filer in the United States. We report our results in U.S. dollars under the U.S. GAAP. However, our operational currency is South African rand, and as such, we analyze our performance in South African rand. In this presentation, we will discuss our results in South African rand, which is non-GAAP. This assists investors' understanding of the underlying trends in our business. As you know, our results can be significantly affected by the currency fluctuations between the U.S. dollar and the South African rand. Amounts reflected in South African rand in this presentation are calculated by translating U.S. dollar amounts reported using the applicable U.S. dollar ZAR exchange rate. We use average quarterly exchange rates to convert our quarterly performance presented from U.S. dollar to ZAR, and an annual average exchange rate to convert our annual amounts presented. As a result, the sum of our quarterly amounts presented in ZAR may not agree to the annual amount presented in ZAR. Q4 2023 includes pre-existing the Lesaka and Connect Group for the full quarter, as was the case for Q3 2023. However, Q4 2022 only includes the Connect Group results from 14 April to 30 June 2022. Thus, the Q4 2023 versus the Q4 2022 comparison is not an exact like-for-like comparison. From our next quarter results, all comparisons will be like-for-like, and the slide explanation will no longer be necessary. Looking at the Group Income Statement for the quarter, we reported a consolidated Group Revenue of ZAR 2.5 billion for the fourth quarter, up 32% compared to Q4 FY '22. However, if adjusting FY '22 Q4 to include Connect revenues for the full comparative quarter, revenues are up 18% compared to Q4 FY '22. In U.S. dollars, reported consolidated Group Revenue was $133 million for the quarter, up 9% compared to $122 million in Q4 2022, which is reflective of the 20% weakness in the ZAR against the U.S. dollar over the period. The significant financial turnaround is demonstrated by a narrowing of the operating loss to ZAR 124 million, including a non-cash impairment charge related to pre-existing merchant business of ZAR 132 million. The ZAR 132 million impairment loss reported in the fourth quarter relates to our UEPS business, being our terminal distribution business. It is important to note that, this impairment has no cash flow impact on Lesaka. Further, the UEPS business is not a material contributor to our overall merchant business. Depreciation and amortization of ZAR 109 million for Q4 2023 includes ZAR 67 million related to amortization of acquired intangibles. As a reminder, acquired asset amortization reflects the accounting treatment for acquired assets, which is both non-operational and a non-cash accounting charge. Adjusting for the amortization of acquired intangibles of ZAR 67 million and for the impairment loss of ZAR 132 million, operating income for the fourth quarter would be ZAR 75 million, which compares to ZAR 33 million operating income in the third quarter, a quarter-on-quarter increase of greater than 100%. Fundamental loss per share for the quarter of ZAR 0.76, which excludes non-operating items, improved 48% compared to the fourth quarter of FY '22. In management's view, this is the appropriate earnings per share measure, given the adjustment for one-off, non-repeatable items and PPA amortization, which is a non-cash item. Execution over the past 18 months has been transformational for Lesaka's financial performance in FY 2023, with consolidated group revenue of ZAR 9.4 billion for the year, exceeding the upper end of our revenue guidance, which was ZAR 8.7 billion to ZAR 9.3 billion. The Group's operating loss narrowing from a loss of ZAR 611 million in FY '22 to a loss of ZAR 275 million for FY '23. Depreciation and amortization of ZAR 425 million for FY '23, includes ZAR 269 million rand related to the amortization of acquired intangibles, compared to ZAR 58 million included in the ZAR 115 million for FY '22. Net interest expense increased from ZAR 57 million in FY '22 to ZAR 300 million in FY '23, predominantly due to the higher debt position given part of our Connect acquisition in April 2022 was funded with debt. The interest expense was also impacted by the increase in the repo rate in South Africa in FY '23. Net loss before tax reported narrowed to ZAR 579 million for FY 2023. Adjusting for the amortization of acquired intangibles and for the impairment loss, the net loss would have narrowed to ZAR 184 million, compared to a net loss of ZAR 609 million for FY '22, representing a ZAR 425 million improvement in the net loss before tax. Fundamental loss per share for the year of ZAR 2 and ZAR 0.66, which excludes non-operating items, improved 64% compared to FY '22. Unpacking the components of operating loss, we have delivered in excess of ZAR 670 million improvement to operating income over the year, if adjusting for the amortization of acquired intangibles of ZAR 269 million and for the impairment loss of ZAR 126 million, which in aggregate accounts for approximately ZAR 400 million non-cash charge to the income statement. For the quarter, we have delivered ZAR 175 million improvement to operating income, after adjusting for the amortization of acquired intangibles of ZAR 67 million and the impairment loss of ZAR 132 million, which together account for approximately ZAR 200 million non-cash charge to the statement of operations in Q4 2023. Consolidated group revenue of ZAR 9.4 billion for the year exceeded the upper end of our revenue guidance, which was ZAR 8.7 billion to ZAR 9.3 billion. Over the last 12 months, the business delivered a ZAR 766 million turnaround in group-adjusted EBITDA, reporting ZAR 498 million for FY '23, which compares to a loss of ZAR 268 million reported in FY '22. This result is within the mid-range of our market guidance for group-adjusted EBITDA, which was ZAR 480 million to ZAR 525 million. At a Divisional level, the Merchant Division reported a segment-adjusted EBITDA of ZAR 602 million for the financial year to June 2023, which came in above market guidance of ZAR 595 million. Pre-existing Merchant Business contributed approximately 1% of the Merchant Division segment-adjusted EBITDA. The Consumer Division, including the ATM business, contributed ZAR 59 million segment-adjusted EBITDA for the financial year June 2023, which included three consecutive positive quarters of segment-adjusted EBITDA. The Consumer Division reported a ZAR 388 million turnaround compared to the ZAR 329 million segment-adjusted EBITDA loss in the financial year June 2022. For the quarter, the Merchant Division grew revenues by 17% on a like-for-like basis to ZAR 2.2 billion, driven by the Connect Group revenues, which grew by more than 25% for the year. The Consumer Division reported revenue growth of 27% compared to Q4 2022 and 9% from Q3 2023, achieved off a reduced cost base. It clearly demonstrates consistent execution in achieving our financial turnaround. The Merchant Division reported a segment-adjusted EBITDA of ZAR 154 million compared to ZAR 127 million reported in Q4 2022 on a like-for-like basis and ZAR 148 million in Q3. The relative contribution to the merchant revenue and EBITDA from our pre-existing Merchant Division has declined, as the Connect Group of businesses continue to grow. The Consumer Division, including the ATM business, contributed ZAR 59 million segment-adjusted EBITDA for the financial year June 2023, which included three consecutive positive quarters of segment-adjusted EBITDA. I have addressed the financial turnaround at an operating income and income-before-tax level. In addition, Lesaka's financial turnaround is also evident in our quarterly progress on a revenue and group-adjusted basis, demonstrating continued momentum in executing on our turnaround plan successfully over the past eight quarters. Overall, we are hugely encouraged by the continued improvement in our quarterly performance, with each quarter this year reflecting an increase in revenue and EBITDA despite the challenging operating environment during the 12-month period. Both the Merchant and the Consumer Divisions are delivering robust quarterly growth, and we have been deliberate in containing our group cost base. Fundamental loss per share for the quarter of ZAR 0.76 per share, which excludes non-operating items, improved 48% compared to fourth quarter FY '22. From a cash flow perspective, we saw continued momentum in achieving positive net cash provided by operating activities of ZAR 183 million in Q4 2023, compared to the net cash used by operating activities of ZAR 104 million in Q4 2022. Looking further at how our net cash utilized in operating activities per cash flow statement compares with cash generated from the business operations, we generated ZAR 197 million operating cash flow before interest paid, tax paid, working capital related to items and movement in our loan book funding. We define this as cash generated from business operations, and consider it an appropriate indicator of our conversion of EBITDA to cash. In Q3 2023, we generated ZAR 138 million, an increase of ZAR 55 million in three months. Bulk VAS purchases are short-term investments usually realized within three to six months and funded through short-term funding arrangements. For us, this is opportunistic in nature, is driven by the benefits of scale, adding further profitability to our VAS business. Bulk VAS purchases sold down over the quarter released ZAR 188 million of cash, compared to an outflow of ZAR 135 million in the prior quarter. Adjusting for the effect of the bulk VAS purchases, the business has cumulatively generated approximately ZAR 123 million of positive cash flow before CapEx over the three financial quarters to June 2023. In our merchant card business, working capital requirements are relatively small. We estimate that approximately every ZAR 100 million in throughput growth requires ZAR 3 million in additional working capital. Our net debt adjusted for short-term funding of bulk VAS purchases to EBITDA ratio is calculated as annualized group-adjusted EBITDA divided by the net debt at a specific date. The fourth quarter of FY '23 annualized group-adjusted EBITDA is based on Q4 2023 results annualized for the year, and has improved to 3.2x as compared to 3.5x in Q3 2023. As Chris mentioned earlier, we are very pleased with the conclusion of our new funding arrangements. In addition, our lenders have agreed in principle to reduce the margin on facilities G and H by 75 basis points, on the basis of improvement in our net debt to EBITDA ratio. We expect to conclude on this during Q1 FY '24. Reducing our net debt remains a strategic objective for the group. If we achieve a net debt to EBITDA ratio of below 2.5x, this will result in a further ZAR 100 million reduction in the margin on facilities G and H. Capital expenditure in Q4 FY '23 amounted to ZAR 55 million. As we previously highlighted, this remains mainly growth-related and in the merchant division. As set out on the slide, we believe our growth CapEx delivers a strong IRR on amounts invested. In conclusion, our robust performance in Q4 2023 is evidence of the successful execution of the strategy we have consistently communicated over the last two years. We will continue this focus on execution, and are optimistic about delivering another positive performance for FY '24. With that, I would like to now hand over back to Chris, who will address the group's outlook.
Chris Meyer: Thank you, Naeem. I would like to now set out our revenue and EBITDA guidance for Q1 '24 and FY '24. We will be providing guidance at a group level this year and not at a divisional level for EBITDA, as we did for FY 2023. So for FY 2024, we anticipate revenue to be within a range of ZAR 10.7 billion to ZAR 11.7 billion. This implies a growth rate of between 14% and 24% on FY 2023. At a group-adjusted EBITDA level, we expect to deliver between ZAR 680 million and ZAR 740 million, implying a 37% to 49% growth rate for FY 2024. This means that at a divisional level, we expect the merchant division-adjusted EBITDA to grow between 15% and 20%, and the consumer division-adjusted EBITDA to grow over 300% in FY 2024. For Q1 2024, we expect group revenue to be between ZAR 2.5 billion and ZAR 2.55 billion, a quarter-on-quarter growth rate of between 1% and 3%, compared to Q4 2023. This represents a year-on-year growth of between 17% and 19%, compared to Q1 2023. We anticipate group-adjusted EBITDA to be between ZAR 160 million and ZAR 165 million for Q1 2024. This is a quarter-on-quarter growth rate of between 1% and 4%, and a year-on-year growth rate of between 122% and 129%. We believe our income before tax, excluding PPA amortization and the impact of any changes in our non-core investments, will turn positive in the first quarter of FY 2024, marking another important milestone in the growth trajectory of Lesaka. I would like to outline our medium-term growth targets and what we see as achievable given our market position and the secular trends. We anticipate that a revenue growth rate of approximately 18% to 20% per annum is achievable over the medium term. Assuming gradual improvement of EBITDA margins, this would lead to a 20% to 25% growth per annum in group-adjusted EBITDA over the same period. These are very exciting numbers that we are challenging ourselves to achieve and to surpass. As we continue to innovate in the Merchant Division and start to grow our account base in the Consumer Division, we believe that Lesaka is positioned to deliver exceptional performance over the coming years. Our outlook provided does not include the impact of any potential business acquisition opportunities we may be evaluating. So thank you for attending the presentation of our annual and fourth quarter results for the period ending 30, June 2023. I would like to invite you to ask any questions you have at this stage.
A - Matt Chesler: Thank you, Chris. We're now going to open up the Q&A session. From Zoom, there are two ways you can participate. The first is to use the raise your hand icon, which is at the bottom of your screen. Clicking this will alert the operator that you want to be called on to ask a live question, and so you'll be placed into queue and called on. Just note, you're going to be on mute until you're called on. The second way to participate in Q&A is to use the Q&A widget, which will allow you to type in and text the question. We'll then take questions from there as well. But just note here as well, if we run into a time constraint, someone from the IR team will get back to you if your question is not asked on today's call. With that, we now begin and pause for a moment to build the queue. The first question here is going to be a live question. It's going to be Theodore O'Neill from Litchfield Hills Research.
Theodore O'Neill: Thank you, and congratulations on the good quarter, particularly given the economic headwinds. My first question is for Steve. Slide 10, talking about the revenue drivers. If I look on -- could you just help me with the dynamics on this? On the card acquiring chart, it shows the devices employed grew 98% and the throughput grew similarly, while for the value-added services and supplier payments, the devices deployed grew 47%, while the throughput was 30%, so it was lower than. I just wonder if you could talk me through the dynamics of how that works.
Steve Heilbron: Our strategy is first to put out the terminal, so when we talk about our VAS devices growing, and I think we say we grow to 75,000. We went from 51,000 devices to 75,000. That represents the 47% growth. Our strategy is then to activate those devices into card processing. So when we refer to the fact that we grew to 44,900, that is off a prior number of roughly 21,000 odd devices, where we were able to convert the VAS devices into card processing devices. So, in summary, we grew the VAS base by 47%, but within that base, we were able to increase the card acquiring devices by 97%.
Theodore O'Neill: That explains it. Thank you. And my next question is for Naeem. Your target for net debt to EBITDA of 2.5x, do you have a date in mind for when you would get to that target, or if not, how do you think about the dynamics that will get you to that number?
Naeem Kola: Thank you for the question. I think the key point for us is in terms of optimizing our debt, so there are specific plans as part of our cash generation to reduce debt over a period of time. The 2.5x target is our near-term target that we are hoping to achieve, because as we mentioned, this gives us an additional $100 of saving on our Facility G and H, and it's quite meaningful in terms of the reduction of interest costs. We will be looking, and our targets indicate that we should get to that level by Q3 or Q4, FY '24.
Theodore O'Neill: Thank you very much. That completes my questions.
Matt Chesler: The next live question is from James Starke from RMB Morgan Stanley.
James Starke: Good afternoon, gentlemen. Thanks for the opportunity. I've got a few questions. I think the first are for Steve regarding the Merchant Division, and then I've got one or two for Lincoln on the consumer side. On the Merchant Division, if you could just give us some color, Steve, perhaps around how you view the momentum from -- ?
Steve Heilbron: Yes. We've lost the question. I'm not sure if you can hear it on your end.
James Starke: Hi. Can you hear me?
Steve Heilbron: Yes, we can hear you.
James Starke: Right. Yes, so the first question for Steve is around VAS and card acquiring devices, the outlook from a tempo perspective, some color if you can maintain this sort of tempo of rollout. The other one is quite a high-level one regarding load shedding. Throughout the presentation, reference was made to the impact of load shedding, particularly in your client segment. Can you give us a sense of where you feel the level of adaptation has got to? Are your clients able to cope with sort of Stage 2 comfortably or is the Stage 4? Where are we and how far do you think they can actually build that resilience? Then on consumer for Lincoln, you mentioned the post office. Clearly, events are unfolding there quite rapidly. Perhaps you can give us some color on how you see that opportunity potentially to dislodge or take on some of those clients that may have worked with the post office in the past.
Steve Heilbron: Great. So I think, first of all, let me say that for the year ahead. We - merchant division for an EBITDA growth of somewhere between 15% and 20%. Our expectation would be closer to the upper end of that. Having said that, I think it's very important to remember that the merchant division just completed a year in which it grew its EBITDA by north of 40% and it also grew its revenue by more than 25%. So, again, this is very strong growth on top of growth. Let me also say there were some one-off items in the year that we've just had which gave us that more than expected growth, that north of 40%, and, therefore, the 15% to 20% is tempered in that regard. Now, having said that, we have fairly aggressive targets to continue that rollout in terms of the broader platform of VAS devices and then, of course, the conversion to Kazang Pay and additional products. Remember, our philosophy has always been to spin off the core. So, in other words, we had our VAS business and Kazang Pay was a spin-off of VAS, and then the spin-off for deposit advance or Kazang Pay Advance was a spin-off from Kazang Pay. So, these obviously were growing off a much bigger base today. So if you go back a year, we had 21,000 card acquiring devices. We're now at 45,000. We have strong growth targets off that, but it's a smaller percentage because it's off a bigger base and, likewise, off the 75,000. All of those growth trends underpin the 15% to 20% that I started off by answering, and, as I said, our expectation is closer towards the 20% growth end. And, again, let me remind you that that is off a prior year growth number of in excess of 40% growth from a EBITDA perspective. Our momentum actually in Q1 for FY '24 also supports continued strong momentum in terms of device rollout.
Chris Meyer: The second question, Steve, was load shedding. You want to touch on that?
Steve Heilbron: Yes, so load shedding, first of all, it's a difficult question to answer. I mean, I'd be more comfortable if you asked me a question on financial services than on load shedding. But let me say what we've observed is that when we start getting beyond Stage 4 and we have periods where we have up to 10 hours, not consecutive, but three sessions a day, we then start to find that there is more disruption in the market than our merchants are comfortable with. Having said that, let me also say that, our merchants are incredibly resilient. And, the last quarter of FY '24 was very testing. You'll see that in our commentary we talk about the fact that despite sustained periods of level 6 and up to 10 hours a day, we still grew our VAS throughput for that quarter, if you ignore IMTs, and there's a specific narrative we give on IMT, by more than 3%. So I think the adaptive nature showed us that even in a sustained period of level 6, we were able to grow. But to answer your question specifically, level 6 is an uncomfortable situation, and there's no question that it impacts our traders' ability to trade. It also affects consumers. It is not a sustainable -- well, it's sustainable, but it is incredibly disruptive for our merchants. Anything from level 4 down, I think we've become used to.
Chris Meyer: Lincoln, questions around the post office?
Lincoln Mali: Thank you, Matt. I think at the human level, the problems of the post office are affecting grant business recipients quite badly, and there's a lot of pain and suffering out there. But there is an opportunity for consumers to make a choice, to look at alternatives. And for us, from a business point of view, the timing is perfect, because we've spent the last probably two years changing a cash logistics company to a customer-orientated and sales-focused organization. Now, we are ready to be able to offer a viable alternative to these customers. And what we've done is to invest in our marketing, both in social media, radio, and a lot of visibility out in the market. Secondly, we've trained our staff quite well and incentivized them to be able to bring more customers on board. Thirdly, we've changed our branch network to have the look and feel that's attractive to customers, so that grant customers can see that this is an organization that wants them and that can give them service. We also have got incentives for customers to be able to shift towards us, and that's something that's very, very positive for us. We've also re-looked at our value proposition, including pricing on ATMs, to make sure that customers can be able to transact with us or transact in any ATM or any POS device when they open our accounts. And the last thing I'll say is that, already in these first two months, we're starting to see that greater momentum, and we're starting to see more customers coming towards us, and we're starting to see some record sales for some of the days in the first two months. So we do think that we are going to be able to take advantage of some of the challenges that the post office is having. But at a larger level, I think SASSA is creating an environment for all financial institutions to be able to go pitch what they can sell to these customers, and we are present in almost any one of those outreaches. And that is giving us another advantage because we've got a sales force that's able to reach out to where the SASSA teams are and be able to present to customers.
James Starke: Thank you.
Matt Chesler: Thank you very much. I would now like to go to some of the questions that were submitted online and via the chat box. The first question is from Raj Sharma at B. Riley, who asked about the Finbond share buyback, particularly when would the cash come in? And there is an additional question that's submitted on the same topic regarding what tax rate that investors should use for the proceeds. So if we could just combine those two in a single answer, that would be great.
Chris Meyer: Naeem, would you like to take?
Naeem Kola: Both questions? Yes. Thank you. Thanks Raj, in terms of the Finbond process, as we've mentioned, it is subject to some final shareholder approvals. We're expecting those shareholder approvals to come through in about November 2023 and the cash flow to flow to come in around December 2023. And as Chris has touched on this, we're expecting around ZAR 64 million, about $3.5 million at the current rates. In terms of the tax position on the cash flow, we're not expecting to pay any tax on the Finbond realization at the moment.
Matt Chesler: Next question is also on the topic of the non-core assets. Can you give us a, from a different questioner, can you give us an update on a potential MobiKwik listing?
Chris Meyer: Naeem, do you want to take that as well?
Naeem Kola: Sure. So, look, I think in terms of our MobiKwik investment, we maintain fairly close relationships with the company. We have monthly calls with them. What I can say is that, the performance of the business continues to be very robust. There's specific plans and they have been delivering on those plans of growth. I think as it's well known, the Indian stock market, especially the IPO market, did come under pressure. We are seeing some renewed activity on the Indian stock market. And based on our discussions with the founders of MobiKwik, together with the shareholders, they would be looking at the most opportune time to do an IPO. But I think what is quite critical for them is that they want to have a few quarters of profitable cash flow, profitable performance as well as positive cash flow before they launch the IPO. So we're not expecting anything eminent, but I think this is constantly in the thinking process of the founders and they're looking at the right opportunity.
Matt Chesler: Moving on to the next question. With the transition to -- 2023, what is guidance for 2024 revenue and profit expansion? Particularly, will the cash flow gains driven by the forecast allow for an increase in Lesaka's current share repurchase program?
Chris Meyer: Matt, I think we missed a small portion of the question, but hopefully I'll address it. And if I don't, please come back. So in terms of our growth expectations, as we said, as I said earlier, we expect revenue, medium term revenue growth to be in the range of 18% to 20%. And that should translate into EBITDA growth of between 20% to 25%. We see that as our sort of medium term expectation, which would be two to three years so beyond FY '24. In terms of specifically use of cash and as that pertains to buybacks, our priority, if I can describe it as that, is, as a growth business, is investing for growth within our business. We have, an exciting growth path in front of us. And, we've touched on the point that M&A is also an important aspect of our growth journey. So, a combination of organic and inorganic growth. And then secondly, Naeem spoke to this at length. We are prioritizing debt reduction as a core strategy. And, Naeem again mentioned the importance of our near-term target of getting our net debt to EBITDA below 2.5x, because if we can get there, there's a meaningful savings for us in terms of interest costs. We're very happy to see this recent 75 bps reduction that we've agreed in principle with our bankers that we expect to see coming-in in the next quarter. But an additional 1% is within sight over the next three quarters. And that must be one of our priorities.
Matt Chesler: Thank you, Chris, I'd like to ask one more question that was submitted before turning it back to you for concluding remarks. Sven Thordsen from Anchor Securities asks us to please elaborate on the EasyPay issues, particularly why was throughput growth so low?
Chris Meyer: Steve, take it.
Steve Heilbron: I didn't quite get the end of the question.
Matt Chesler: The question around throughput, which was flat and issues in the questioners words, issues within EasyPay. Do you want to just elaborate a little bit on our thinking?
Steve Heilbron: Sure. So, as we covered in our narrative, we are reinvesting in the EasyPay platform and we're quite excited about the future of that business. So some of what you're seeing when you compare FY '22 to FY '23 is a function of lost business. The issues that we have struggled with in the business to some extent are the fact that we need to reinvest in some of the technology. We also lost some key billers. A lot of that has been addressed and the year ahead for us right now, we're expecting growth in terms of both bill payment and VAS, but at the same time we are reinvesting in the platform. So it really has been a case of stabilizing, stabling our billers, developing our tech, also addressing some of the areas that from a product innovation perspective and I think all of that sits behind the reason -- the answer to your question.
Matt Chesler: One additional question, Chris, is what are you seeing on the M&A front? What are your plans over the near medium term with regards to mergers and acquisitions?
Chris Meyer: So, as we have said before, M&A does form an important element of our overall strategy. Our ambition is to build the leading Fintech platform focused on mergers and consumers in the informal economy and in the low-income groups in our country. And we do believe that an element of that will be achieved through further M&A or inorganic activity. In particular, we are actively looking and continuously evaluating opportunities where we see opportunities to add scale, adding customer numbers, or to build in terms of our proposition for our customer base, so to add additional functionality or additional services. And we see this mainly as being in our merchant division. I think our consumer division would see probably more organic growth driven, but in the merchant division where we have the opportunity to layer in more services for our merchants, we feel this is important. It goes to the core strategy of our business, which is deeply entrenching ourselves with those merchants, building, layering in services for them, so that we become entrenched in their business and help them grow and compete, as Steve said. So, continuously looking at opportunities. Our mantra on this is disciplined M&A. It needs to work for us on a number of metrics. And we will have an extremely high bar in place when we look at opportunities. But as I say, we continuously do so at any point in time.
Matt Chesler: Yes, I'd like to conclude the question-and-answer session, so that we could turn it over to Chris for concluding remarks and wrap-up this call before the market open. For those of you who have submitted questions that we did not have time to get to, we will reach out to you directly to ensure that your questions are answered. Chris, over to you for concluding remarks.
Chris Meyer: Matt, thank you. Thank you very much, and thanks everybody for joining us. As we said, 2023 has been a transformative year for Lesaka. We are extremely proud of the turnaround we've achieved, illustrated by the improvement in the last year of over ZAR 670 million in operating income and almost ZAR 440 million in net income before tax after adjustment for the amortization of required intangibles and that impairment on the UEPS business that we spoke to. Lesaka is positioned for growth. Our market opportunity is exciting, and we are fully focused on delivering to our FY '24 guidance. Thank you.